Operator: Good day, ladies and gentlemen, and welcome to the StageZero Life Sciences' Second Quarter Financials Call. At this time, all participants have been placed on a listen-only mode, and the floor will be open for questions and comments after the presentation.  It is now my pleasure to turn the floor over to your host, Rebecca Greco, Head of Investor Relations. Ma'am, the floor is yours.
Rebecca Greco: Thank you very much. Good morning, everyone, and thank you for joining the StageZero second quarter 2022 earnings conference call. Joining me today is StageZero Chairman and CEO, James Howard-Tripp. Please note the managementâs discussion today will contain forward-looking statements about anticipated results and future prospects. Forward-looking statements involve a number of risks and uncertainties, and StageZero's results may differ materially from those discussed today. Investors should consult the company's ongoing quarterly filings and annual reports for additional information on risks and uncertainties relating to these forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The company disclaims any obligation to update these forward-looking statements, except as required by law. On today's call, management will refer to non-GAAP adjusted EBITDA. This metric excludes certain items discussed in our press release under the heading, Discussion of Non-GAAP Financial Measures, and any other items that management believes should be excluded when reviewing continuing operations. The reconciliations of StageZero's non-GAAP measures to the comparable GAAP measure are available in the financial tables of the Q4 2021 financial results press release on StageZero's website. With that, I would like to turn the call over to James Howard-Tripp, StageZero's Chief Executive Officer. James, please go ahead.
James Howard-Tripp: Thank you, Rebecca, and good morning, everyone. Thank you for joining us. It's certainly been an interesting quarter. If you think about the turmoil that the world is in, you look at where the financial markets are, I think it's just increased not the level of uncertainty, but let's say, the level of complexity, I think within, which you've got to navigate. We've had -- we've actually had a very interesting quarter. We've had a very solid quarter. And one that as I work through it in the remainder of the call, you see sub-sell samples we move through the rest of the year. So that's some -- let's begin with some -- what we've done over the last six months. So clearly, raising money is critical. Without money, you buy enlarge too much of anything. Money in the first half of the year, it's been constrained. There are a number of things that I think we would have liked to push out even more strongly on that will occur as we move out into the second half. But all of it, all of it tied to money. However, having said that, we're managing to keep our heads above water, and we're making money, we're bringing revenue in as it goes. So that is always a good thing. But the obvious piece is to continue to build that. We've -- as we've talked about, we've not only integrated CareOncology into the company, but we started scaling and it's the scaling piece that's really critical on this. Everything that we did as we brought it in was to amalgamate the businesses, add the various layers. We'll show why that is so critical as we move through some of the late slides, but it was to make sure that we could scale. We could move it out very markedly. You'll see that we talk about the fact that the CareOncology in the UK is now approaching breakeven that's part of this. We've been able to grow it. It's the springboard into Europe. It's a springboard into a lot of the rest of the world that actually underpins a significant amount of what CareOncology does in the US. And so we've driven down all of that. We launched AVRT in the UK. AVRT is the preventive program, but AVRT will feature quite strongly as we talk about what we're doing with employers. And yes, we have started with employees. That's the really big news. We extended the availability of the COC protocol into the European Union. That is in order to build it out. To remember that the European Union is 750 million people, it's an extremely large market. You want to be correctly positioned in order to do that. We launched COC Plus, which is a worldwide and COC Plus is essentially a version of AVRT -- A-V-R-T, the protective  program, but it's now tied to or dovetails with the Care Oncology protocol, which is to treat patients that currently have cancer. This was done at the request of a whole series of patients, and the actual fact uptake has been very, very nice. We think as we move it forward, it's probably going to become part of the main stay of what we do under the Care Oncology protocol, and essentially, it will become a seamless program, all again, extremely positive. Now about 10 months in your, sort of, post acquisition, as you always do through all of this is you take time to in actual fact to evaluate where you're at and we've been streamlining some of the operations. We've been pairing some of the pieces back. There's a degree of dislocation in the US and perhaps I'll talk to that now. Little -- gentleman by the name of Jason Butcher, an actual fact was one of the founders of Care Oncology in the US. Jason, had cancer. And so Jason many years ago became a patient of Care Oncology in the UK and did well under the program really liked. So he banded together with a number of like-minded people, some clinicians, and they brought essentially the Care Oncology platform to the US. So Jason has been pivotal in helping build all of this. Jason, unfortunately, succumbed to his cancer. It was many, many years of actually living with it, but he succumbed to his cancer over the last little while. It's actually a very sad loss. He was not only an amazing colleague, but actually a good friend and pivotal, as we said, in building everything up. Before Jason past, we have been working on a reorganization program in the US, notably to improve the way that we dealt with patients, improve response time, automate a lot more of the systems, and subsequent to Jason's passing together with the team, we've continued to implement this, and that's causing a degree of dislocation. It's necessary. We need to work through it. It's not affecting care. Markedly, it's having a small effect on care, but will be through that within the next week or so, and then we'll be returning to normal and we build back out again. But as a result of that, we'll have a much improved system and one that we know is totally scalable, and where we too can begin to push to all COC US on reaching breakeven point. So credit â in all of these pieces. I think together with that, it's an opportunity for us to look at the cost across the entire organization. And we made sure that we're as efficient as possible. We're as cost effective as possible. And you'll see that reflected in cost as we move on out from here. So all of that, a good thing. We've expanded the marketing programs and lab partners for Aristotle into multiple new cities in the US. Remember that about 50% of people have settled on telehealth as their preferred way of having health care period. But that also means that about 50% of people like to walk into bricks-and-mortar. Notably, when it's getting the lab tests, getting the pieces like that. So, we're making sure that we're building out all of these pieces in major geographic hubs, so that we can work with all patients now by the where they come from. Most of our consulting is in fact, still done by telehealth and that works extremely well because depending upon what your situation is, we've got a variety of oncologists. And remember that we've got oncologists in different parts of the world. We've got different types of experience as physicians do. They consult with each other. They guide each other. So, it's extremely helpful to be able to do this through the medium of telehealth. We've engaged with employers. I mentioned that a little earlier. This is really critical because if you think about where we were approximately a year ago, a year to 18 months ago, this is what we were building to doing COVID was a major impediment in terms of how you could do it and how fast you could move. Additionally, employers as we were talking with him, told us that we really needed to have a clear set of capabilities in order to make it happen, that led to us acquiring Care Oncology. And we now are -- 12 to 18 months later on, we're fully positioned in all of that. Therefore, we can engage with employers. We can introduce the programs and I'll explain that in great detail as we move through.  We're continuing to deepen the Aristotle test offering. We have the colorectal cancer program early versus late, by stages. That is developing nicely. We will introduce that in due course. We're working on the additional pieces behind it. Lung is key for us. It is breast and then we will bring a small number of additional cancers in as well.  You will notice that we're focusing on a very discrete number of cancers. We're not trying to do extremely large numbers, notably because there is a significant push back against a lot of this. It's no good knowing that you have some esoteric form of cancer, which is difficult to screen forward, difficult to diagnose the accuracy of the test in those areas are not great, and then you don't really have standard of care. So, guidance on our side has been to stay within the cancers that are typically within standard of care that have the greatest impact and you will see us literally stay within that role. We think it's the right decision. And actual factors, we're picking up business. It shows it's the right decision and we will stay there.  You will also notice that we're a lot more visible. We're in a lot more conferences. We were in the H.C. Wainwright Conference little earlier. We will be in the one in September. We were a keynote speaker and one of the organizers behind these symposium that we did with the charity focused on cancer in the young. We've been in a series of other conferences. We will continue to do this and our publication strategy is on-track as well. So, a lot more information from that.  So where are we with employers? Because I'm sure that's what everyone really wants to know. So, cancer is the number one catastrophic claim for employer health plans. And if you think about it, if you look at the US, and the US is the major market where we are. out of a population of about 320 million, about 130 million people are insured under self-funded healthcare plans. So by that it means that the employers actually pay the cost of the healthcare plans. They are invariably driven by what is called catastrophic claims. The catastrophic claims are mostly for issues like cancer. In fact, the vast majority of claims in that space are cancer and this is also where you wind off from laying it off against insurance groups, and we've talked before about groups like Munich Re, so you get to full Layer 3. If you can get a decrease of even a percentage point in your overall health care costs, CEOs and the groups managing -- these will eagerly take them. We're able to demonstrate that we can do significantly better for them. And so, Iâll explain as we go on down and you can see why we're actually getting to work with them. So we've talked about before sort of the life-saving action or the life-saving advantages of early detection. And this slide is a little difficult to see because it's so small, but I'll pick on our favorite one that we normally talk to, which is colorectal cancer. And as we know, if you find colorectal cancer early, you've got about a 90% chance surviving five years. An actual fact, if you find it really, really early, I'd go back to what I was talking about earlier is we'll bring up the new version of colorectal cancer, you get even better survival of that. If you find it late, and your survival rate drops to the sort of 10% to 14% range. It's even more important when we begin to look at the costs associated with us and so if I stay with -- if I stay with the colorectal cancer aside, you can see that if we take a subpopulation of, let's say, 1,000 workforce, we have an average sort of rate of 4% of people developing colorectal cancer. So let's take 40 of those that will test positive. You then look at treating them with early stage and the cost is about $33,000. These are US numbers. And US numbers, US dollars, it's about $33,000. If you look at the cost of treating late-stage cancer, it's about 120,000. You now extrapolate that out to this group, and that's about $6 million versus $1.6 billion. It's an incremental cost of nearly $4.4 million as you go through this. And bear in mind, this is just one cancer. You now take the program that we have, you split it across the multiple cancers that we're doing or with one blood. Your cost of streaming at the individual cancers is minimal. And yes, you have the benefit across all of these. So not only is it absolutely critical to screen for cancer within the employee base, particularly your high-risk group, but the outcomes as we looked at five-year survivals are absolutely massive. So that is where you have to go. So how do we do it? How do we do it? What's so special about us? Well, what is special about us is the programs because, yes, we have Aristotle. And we've talked a lot about Aristotle and Aristotle currently does nine or 10 cancers depending upon how we're looking at it. We'll probably expand that out to about 15 or 16 in terms of where we go and will then hold it there. But if you look at the fact that you're screening across all of these cancers, as I said, single test, single blood draw, we do that. What Aristotle tells you is a talent that you have cancer today. Yes or no. And it tells you that with high accuracy. If you couple it with AVRT and so AVRT is the preventative program on the care oncology side. And remember how we got to AVRT, we got to AVRT through the fact that the oncologists within care oncology or what I know it is either integrated or metabolic oncologists, they're extremely experienced in how you develop cancer in the first place, why you develop it? It sets through a â sets through series of lectures by two of our group, just a couple of weeks ago. And one of our oncologists made the following statement, which is when we find cancer we will use chemo or radiotherapy to actually look to spoil the cells. They said, what we forget about is that is the reason cancer got there in the first place. It didn't just suddenly appear. It got to there through a whole series of circumstances and we forget that we've got to deal with those circumstances, both during the treatment phase, which is a program we call treat or the Care Oncology protocol. But also, one, we can look at preventing it ahead of time, about 40% of the most common cancers appear to be fully preventable. And if you have had it, we can look at preventing it from reoccurring. You can look to give you a better outcome or we can look to try and prevent it reoccurring in the future. The integral strategies that have been pulled forward into the program called AVRT. You now look at adding AVRT to Aristotle and you've got an amazing program. You've got an ability through Aristotle to see whether you have cancer today, yes or no. And as I said, with high probability. If you couple AVRT to that and you use the metabolic pathway panel, we will flag the metabolic pathways that we believe either lead to or could cause other cancer or could put you in, let's put it this way, at risk of developing cancer. And we can then work with strategies to deal with it. It's a single program of its kind. We haven't seen anyone else be able to do that. In addition to that, what we can do is we can also work with you in this. And so clearly, if you have cancer, we -- because we have a clinic and I work with exactly, I'll talk to two of the employers that we're working with right now. In both instance, in one instance, and perhaps I'll cover this a little moment in the next set of slides. But in the one instance, they are very interested in all of the data that builds out it is. They've got series of circumstances in which they need to be screening their people, but they also are very, very interested in the data as it works out on what they can actually do it and what it tells them and then how they use it to lobby for changes within the workplace infrastructure. That is critical. You've got to be able to pick up on all of these pieces to be able to do that. The second group, one that was particularly interested in what the handoff would be? So if I have all of these employees and a whole series of them test positive on either Aristotle or they flag with raised tissues under the metabolic panel what on earth do we do with them? And because of Care Oncology, we can do that. We can triage the patients. We can ensure that the handoff occurs for those that has positive on Aristotle, so that they actually get worked up correctly. We can do this on the US side of the border as well as the Canadian side of the border. Was same with AVRT, with AVRT, we can either do the handoff in terms of going to their physicians or what we can do is we can offer them the programs on our side. They can come into the programs on our side. They can come into the programs on our side and clearly, if they test positive for cancer and Aristotle, they can also come back and enroll in the Care Oncology protocol. So, it is this ability to essentially hold their hand all the way through the process. And again, as I say, that is noble. That is unique. No one else has that. We're number one in this area. So, if I go to the way the process would work, and so let's talk through this particular one. And I think it's no secret that we wanted to do work with first responders. So let's look at how a program such as this might work. You would do the Aristotle cancer screen. We get a positive walk down the left side of the slide. We get a positive flag for cancer. We would do the relevant referral. We would work with the group to do the relevant referral and bearing in mind that the employers work in different ways. Some of them have none of the setup. Others as we're working with either have the full setup. They have their own clinical site that they want you to hand-off to and they will help take it through. Others have a partial, and in the partial, they want to hand-off, but they also want the guidance to ensure that these patients actually get worked up under standard of care, so that should they have cancer, they then drop into appropriate treatment. If they have cancer, as we mentioned, they can come back to us on the TREAT side, it's not a must. It's an option. If they have no cancer, they can go down the AVRT side. And bear in mind, as we tie in, we tie with the AVRT team just a moment as we follow through. What you do is you then look at your follow-up screening. If it's cancer only and particularly where you're dealing with first responders, first responders certainly in the US, in most states, there's a mandate that they get screened once a year. So they would come back once a year on the Aristotle side. If they have tested positive under the AVRT side, then the AVRT , they would come back more frequently. But you run through this, and from there, we obviously get together all of the metrics. I'll move to the next slide. This, if you think about it is how the metabolic screen would go. We would screen at month one. If you're negative -- sorry, or if you're normally in all of this, go home, we'll see you at the same time that you get screened next year with Aristotle. If you're positive, if there are a whole series of flags in this, then in an actual fact, we will either hand you off to your normal primary care team or should you choose to come and work with us within our system, we will put you into the program, and we will begin to walk you through the steps. And in which case, you'd then going to get tested much more frequently, because the advantage of what we do is through the metabolic markers, we can actually see whether you're staying the same or improving. And clearly, what we want to do is to make sure that you're improving. So you wind up essentially with an overall score of things that you need to work with and you can drive it through. The measurements will drive through all in this. What we come to at the very end of the essays, we come to an analysis and if we go to first responders, it's very interesting. For example, is that length of service in first responders that is most important is it the fact that you've been exposed to a particular situation, that is most important. And remember, first responders are not just firefighters, but police and their emergency medical services as well, ambulance, for example. If I look at the US side, there's something like 3.9 million people that tie up within that. It's a market opportunity of close to $4 billion as it drives through and of course, it gets done frequently as we drive through. So, very, very important as we drive down. What people want out of this is they want the data. It's one area of the country different to another, it's one set of circumstances different to another. Is it age that drives us? Is it lengthened service that drives us? All of this comes back to actually look at what the health economic impact of this is. I will also take you to the fact, but don't forget, a big part of this is the multiple revenue streams as we've talked to. If we were just a regular diagnostic laboratory, we would get a single touch, because we are all of these pieces, we have multiple touches and so it continues to work with us. This is exactly how we develop the model in the first place. If we look at what it is that we intend to do for the remainder of this year, as we build it out, it actually is essentially as follows. We know that we have cash-sensitive or money-sensitive promotion. Therefore, what we want to do is to continue to significantly increase spend against promotion across all of the brands in all jurisdictions, the entire objective of all of this is quite obviously to drive revenue. We are looking to expand access to Aristotle in Canada. I think people have been watching the various pieces. There are a number of some -- there are a number of opportunities on the table. We're talking to everything from large healthcare systems to smaller healthcare systems to, I believe, for example, diagnosed at home, I think people are probably interested in that. Dr. Ian Plener, who runs DiagnoseAtHome actually informed us yesterday that they're fully ready to go and so DiagnoseAtHome will in actual fact begin with Aristotle if not this week, next week. So, those are things begin to build up, but we're also dealing with a large hospital groups, multiple hospitals, multiple clinics. We're looking to expand -- continue to expand across the U.S. And we've put a whole series of states there, which is where we wanted to go. Right now, as I look at them, about half of those states were already there. So, Texas, Connecticut, New Jersey, North Carolina were already there. So, we're building out very, very strongly. Partner with innovative clinical groups, I mentioned DiagnoseAtHome is one of that, but in actual fact, there's an opportunity in North Carolina with a state-of-the-art treatment center, whereby they would look at using Aristotle to add to their offering. But in our case, we can actually refer patients to them for treatment should patients be interested in that because these are absolute cutting edge on the forms of treatment. So, you get to open and expand the opportunities there. We will fully launch a vote in the European Union. As I mentioned, that's a 750 million population, it's an extremely large opportunity for us. Together with that is the continued expansion of COC protocol plus COC Plus. We're working with some countries outside of our normal jurisdiction. We've actually had a number of approaches to groups that would like to work with us. We are working very actively down those -- and it is interesting that we can work with groups out of our North American site to begin with. â we can -- because the fact that we ship samples across North America, we can clearly ship them across the world. So that's a starting point and it could lead to development of labs in those jurisdictions as we go down the road. But to begin with, it would all feed into North America. I mentioned already about adding the additional cancers we want to fully bring out the colorectal, but then add lung add pancreatic cancer and then fully develop the staging, for example, as we talked about across breast and across lung. And I think I will essentially hold it there. Rebecca, do we have questions.
A â Rebecca Greco: I think Mike, will open the polls for questions. We have started with first on the webcast, asking when will advertising begin to roll out and what types of marketing plan to use.
James Howard-Tripp: Yes. That's a good question. So the marketing in the early part of the year, really January, February, March, we did a significant amount of test marketing in terms of trying to make sure where we got to uptake is, how we know it's dollars sensitive or insensitive promotion. We are -- I think we have three segments that we very strongly go into. One is obviously working directly with patients. And there, we have about 100 -- we directly tied to about 100,000 cancer patients at the moment as we build out through a variety of groups. And so we will continue that. And so that is a degree of interacting with them directly. Our really big push in all of this is obviously, I guess, what we would call B2B or B2B2C, which is, for example, through the employers bearing in mind that Mercer is a group that we worked with before. We were -- Mercer took us a whole series of employers. We have relationships across all of those. We're clearly leveraging them. And so you build out on that. So the B2B2C is a very, very strong segment and the one we want to go through. That is probably a little less about direct sort of channel advertising and probably more feet on the ground and we're working very actively on that. We've got a pretty comprehensive group internally that works on doing exactly that. And then the final piece with this is obviously the health care systems. And so at one end, we would have groups like DiagnoseAtHome. We look at the opportunities that we had with Ichor â from Ichor, we went, for example, the groups like Lexo  and Sobeys, those provide opportunities as we go to. But we're working with -- we're talking with, for example, two different, really large hospital groups. About how to work with them? They don't typically have the setup that we have. We're complementary. We not only -- don't take revenue from them, we actually will drive revenue to them. And so those aspects are important. So I think that's what we look for. It's going to be a mix of all of that. It's not purely advertising to the street.
Operator: 
Rebecca Greco: Thanks, operator. While we're waiting, James, we also have a question about, what we think our future financing might look like. Do you have any comment on that?
James Howard-Tripp: Yes. We've typically always run with relatively low amounts of money. And I think we've talked about this before. I think Matt Pietras â when Matt was with us, Matt made the comment that he was astounded that we've been able to do what we had with a small amount of money that we had actually raised and bearing in mind the $25 million, $35 million in the world in which we operate is a small amount of money. So we've been incredibly frugal and â but also incredibly effective. In order to push on out, we clearly need to be able to throw larger amounts of money at it. So will we finance as we go down the road, yes, almost certainly. It makes sense, you have to do this. We will always bear in mind about trying to be as frugal and as soon as possible, and I think to choose the right opportunities in where to go. So that's there. But it does matter who you are, I think it's â you look at all of the extremely large companies in the world, they are still financing. So you take money when you need it. If you can take $1 and you can turn it into $3 or $5 that's smart business, that's something we will always do.
Operator: We do have a question now from Dipesh Patel from H.C. Wainwright.
Dipesh Patel: Thank you. Hi, James. Thanks for the update. How would you anticipate the company to compete or fare against other cancer diagnostic tests? And what differentiators might be worth noting that specific to StageZero?
James Howard-Tripp: That's a super question. Thank you, Dipesh, and thanks for joining the call. We're actually doing extremely well on that. We have a number of competitors out there, always stack up against them, so we can get real, real market feedback, real-time feedback. We're actually beginning to take contracts from some of the other guys. And the reason is really are the following. The other technologies tend to â are even limited. In other words, they do just one or two cancers in terms of where it is. So most â most don't do the breast. But when you do the breast, when you do the multiple cancer aspect, the other technologies are typically fairly good at finding late-stage cancer, but not very good at finding early-stage cancer. If we look at circulating tumor cells, for example, it's obvious that with very small tumors, very early-stage tumors, there's less CTC in the blood, it makes it a little more difficult to find in addition to that, if they're relying on methylation markers, the methylation markers typically increase with stage of cancer. In other words, they take time to accumulate â so it's just much easier to find later-stage cancers. So where we're finding people actually speak with us or come to us and ask if they can switch programs, for example, it is because either there are not seeing the kind of results, they totally expect to find or notably, they're not seeing the early stage cancers. And so I think that's a huge advantage for us.
Dipesh Patel: Great. And then in terms of the Aristotle blood test, how has testing volume looked? And what measures are you thinking about to potentially grow volume?
James Howard-Tripp: Yes. So we've started relatively slowly, notably, everything takes time until you actually get it up and get it going. So we've been positioning with a number of the groups. Most of them are beginning literally now as we go or they have been occurring over the last few weeks as it drives some out. So we would expect Q3 and then particularly Q4 to show significant volume as we drive on out. We haven't yet actually broken it out in the individual test. We typically lump it all together. But that is something that we'll do as we move on forward.
Dipesh Patel: Great. And then last question, if I may switch gears to AVRT and COC. Could you provide some color or sense on the current number of users in those programs?
James Howard-Tripp: Yes. We have, I think, it's around 3,500 users right now. I think that's correct. Yes, we have about 3,500 users right now. And good question, because the very big part with a lot of this is that's obviously repeat business. If you're in this, you would typically be back in actual fact that even ties with the COC protocol. Patients typically come back to every three months. And right now, our average duration of people staying with us is just approximately a year. Bearing in mind that we will lose some patients in the mix and unfortunately due to the cancer. But with others, as it builds on out, we are in the process of publishing both on Aristotle as well as on the COC protocol. And so this will be the next in the papers on the glioblastoma side, and it continues to show improvements in survival rates. So really, really nice. We presented at a conference in London. Just a short while ago, it was actually to a by invitation to neuro-oncology group, they were very interested in what came from a glioblastoma side. And it actually got an extremely good reception. So part of what we're talking about is what kind of work can we do with them, particularly as we continue to data.
Dipesh Patel: Great. Thank you so much James.
James Howard-Tripp: Youâre welcome.
Rebecca Greco: James, we also have a question on the webcast. Can you please give more color as to how Mercer is opening up the relationships? And can you quantify it?
James Howard-Tripp: I think the issue with all of this, while I respect so the desire to know, I think, with most of these groups, they do not want us to disclose either who we're working with or how, and to put it bluntly, the way it was given to me is, yes, that might benefit you saying who are you working with some, but it doesn't benefit the company. They're not part of your marketing yet, but they don't want to do that. So I think of the necessity, we're probably going to be giving less absolute clarity on exactly who we're working with and how, but it is in order to be able to get the business if we start disclosing that, I know three clients right now that if we disclose two, they were would actually pull the business. So sorry, I can't directly answer that one.
Rebecca Greco: Okay. And I think we're just about up to time. So, maybe one last question and it sort of relates to what you were just saying. Does the employer infrastructure look ready for scale? Are there definitive contracts executed and testing commenced? You sort of spoke a little bit about testing commencing. Do you want to maybe just give color on, what the contracts and relationships look like in a general sense?
James Howard-Tripp: Yes. Bearing in mind that, in most instances, other than pricing, no formal contracts really needed -- at the end of the day, where a clinic and we're a lab. So it isn't as if you go on out and you ink something that says this is exactly what will happen. Contracts typically will go around pricing, confidentiality, turnaround times the likes of that. So are those in place, yes. Have we initiated testing? Yes. Will we get to talk about this more as we move forward? Yes. But again, going back to my earlier comment, I would guide to say that in most instances, I doubt if we're going to be able to say, exactly who it is we're working with and why. We will provide information around, for example, things like test volumes as we go forward at quarters, the likes of that. Okay?
Rebecca Greco: Yeah. Those are the questions.
Operator: Sir, there appears to be no further questions in the queue. Do you have any closing comments that you would like to finish with?
James Howard-Tripp: Yes. No, thank you. Thanks, everyone, for joining. It's actually a nice time. This is the point that we wanted to be at. It's the point that we were getting to when COVID was in the middle of all ages and actually severely disrupted a lot of things. It's nice to be back at that point. It's nice to be back, in fact, with all of the pieces that we believe are critical to actually make this a success. And so we look forward to continuing to update you as we go. And we'll try and be as transparent as possible. But I think as we've talked about, yes, we're probably not going to be able to say we're working with AB and C, and they have contracted this number of tests. That generally is not what people want to disclose. So thank you for timing.
Rebecca Greco: Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time. And have a wonderful day. Thank you for your participation.